Operator: I will be your conference Operator today. At this time, I would like to welcome everyone to the AMERCO third quarter fiscal 2009 investor call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions) Thank you. At this time, I would like to turn the call over Ms. Jennifer Flachman. Ma’am, you may begin the call.
Jennifer Flachman: Thank you for joining us today, and welcome to the AMERCO third quarter fiscal 2009 investor call. Before we begin, I would like to remind everyone that certain of the statements during this call regarding general revenues, income and general growth of our business constitute forward-looking statements contemplated under the Private Securities Litigation Reform Act of 1995, and certain factors could cause actual results to differ materially from those projected. For a brief discussion of the risks and uncertainties that may affect AMERCO’s business and future operating results, please refer to Form 10-Q for the quarter ended December 31st, 2008, which is on file with the Securities and Exchange Commission. Participating in the call today will be Joe Shoen, AMERCO’s Chairman. I will now turn the call over to Joe.
Edward Shoen: Good day. I am speaking to you from Phoenix. I have Jason Berg, our Chief Accounting Officer; and Gary Horton, our Chief Financial Officer; and Rocky Wardrip, all on the line with us and they will be available for questions after the remarks. We finished a rough quarter here ending December. November was poor. December was worse. The good news is that January is firming up or has firmed up. We continue to trim expenses and have reduced some CapEx much as we have been doing over the last six months to 12 months on expenses. The CapEx reduction is really going to just show up here in the fourth quarter. Year-to-date, we are up slightly in total transactions and that is composed of us being up a modest amount in what we call in-town truck transactions and down slightly less transactions in a one-way truck transactions. Unfortunately, these nets to a revenue decline as in-town transactions have a lower dollar value per transaction. Total customer is up. Total dollar is down. U-Haul remains a need-based business. Our point-of-sale teams are focused on wowing our customers with superior service. We have been through troughs before. We will get through this one. I expect us to maintain or improve our competitive position through this process. Both Republic Western and Oxford Insurance companies are on plan. Their investment portfolios are very solid. I do not look for any surprises that they finish a year. Of course I am monitoring our liquidity. I intend to keep us highly liquid in the near time. This has been our strategy for 18 months. If you look at a 20-year history of this Company, you would see we have never been as liquid as we have been in the last 18 months and of course a burnt child was scared of fire and we are trying to be extremely prudent and I believe we are. I will go ahead now and turn it over to Jason Berg, our Chief Accounting Officer. He will go through the numbers then we will go to Q&A.
Jason Berg: Thank you, Joe. Good morning. Yesterday, we reported a third quarter loss of $1.46 per share, compared to a $0.69 loss for the same period in fiscal 2008. U-Move revenues for the quarter decreased $15 million. For the quarter and for the first nine months of this fiscal year, we have been operating with fewer trucks on average than last year at this time. For the quarter, our average box truck count was down a few hundred units compared to the same period last year and for the nine months on average we have down about 3%. However, by the end of December our box truck fleet was up about 1,200 units compared to the same date of previous year. Several factors contributed to the decline of revenue for the quarter. First, we experienced the decrease in overall transaction during the quarter led by one-way rentals. One factor that we know influenced the decrease in activity was the comparatively worse weather large portions of the country experience during December and parts of November. The revenue and transaction declines we saw in the third quarter were not nationwide, as we had several areas that saw revenue increases in the system. Another issue likely interacting with our results are the uncertain conditions in our economy. It is reasonable to consider that the negative consumer sentiment prevalent through much of the country has not been conducive to our attempts at increasing revenue. But we do not have any special insight into our competitors’ financial result. Our own assessment of the marketplace was that our revenue results were down. We are in a comparatively better position than others. Secondarily, our revenue results for quarter were subject to fluctuation and currency conversion as we translated our Canadian operations to the US dollar. In the third quarter of last year, there was unusual weakness in the US dollar compared to the Canadian dollar. This has since reversed and the variance in conversion rates magnified our U-Move revenue decrease by approximately $4 million for the quarter. This had a minimal effect on our results for the first two quarters of this year. However, if currency rates continue where they are at currently we could see this continue to have some impact on our reported revenues to the second quarter of next year. During the first nine months of fiscal 2009, we replaced nearly 16,600 new box trucks and added over 4,500 trailers to the fleet. For the first nine months of both fiscal 2009 and 2008, we invested approximately $439 million each year in new rental equipment. This is gross before netting equipment sales and the effects of financing. We have increased our finance allocation to operating leases this year, funding approximately $265 million, compared to nearly $130 million last year at this time. Our current plans for the last quarter of this fiscal year include investing approximately $90 million in new rental equipment. With our fleet in the best condition it has been in for at least the last 10 years. Our initial projections for fiscal 2010 indicate we may reduce our capital expenditures and new rental equipments substantially if business conditions warrant. Through the first nine months of this year we have recognized approximately $103 million in the sales of our rental equipment, compared to approximately $117 million last year at this time. Continuing now with the used truck market, the pickup and cargo van resale market has softened, resulting in a reduced gain on the sale of these units. Revenues for our storage program decreased 2% for the third quarter of fiscal 2009, as compared to the same period last year. Our occupancy rates are down 4.6% to 78% for the quarter. This variance is arrived at through two factors. First, we have fewer rooms rented this year than last. Our average number of rooms occupied has decreased approximately 2% for the quarter, compared the third quarter of this year with the same period last year we saw nearly identical new move-in activity for our company-owned locations. However, we experienced the 2.5% increase in move outs. Second, our average number of available rooms has increased 4%, compared to the same quarter last year. Our recorded occupancy statistics consider all available storage rooms. We do not adjust for same store comparisons. We have completed several new projects over the last year. These have added large groups of new rooms to the portfolio and are still in the rent-up phase leading to some dilution of our occupancy rates. Looking at total costs and expenses for the quarter, we are recognizing positive prior year loss experience on our portion of the self-insured liability risk related to the rental fleet. As previous years’ incurred loss experience develops over time. We are able to improve our estimates and what the ultimate cost will be for these prior periods. The resulting refinements we make in these estimates of liabilities are recorded into our income statement. The decrease in operating expenses for the moving and storage segment for the quarter is largely a result of these improvements. Losses from operations for the third quarter of fiscal 2009 were $14 million, compared to earnings of $8 million for the same period last year. The most significant drivers of this decrease continues to be equipment related costs, including depreciation, lease expense and the loss on disposal equipment, combined now with the declining U-Move revenue. Net cash provided by operating activities for the first nine months of fiscal 2009 were $253 million, compared with $303 million for the same period last year. Last year included nearly $40 million of repayments, received unrelated party assets primarily from SAC Holdings leaving the remainder of operations down approximately $10 million. Cash and short term investments, excluding the insurance companies were $273 million at December 31st, 2008 with additional cash availability from existing borrowing facilities of just over $42 million. AMERCO notes and loans payable were $1.560 billion at December 31st, 2008. Regarding our rental equipment operating leases, using the average cost of our fleet-related debt as the discount rate, the present value of our minimum lease payments and residual value guarantees were $629 million at December 31st, 2008. With that, I would like to hand the call back to Joe.
Operator: Ladies and gentlemen this is the Operator, our apologies. Chairperson seems to have temporarily disconnected. If you will hold on the line for just a few more minutes, I will have him back on line as soon as possible. Thank you.
Edward Shoen: Alright, we will go to question and answers now please.
Jennifer Flachman: Stephanie, are you there?
Operator: (Operator Instructions). Your first question comes from the line of Ross Haberman. - Haberman Fund.
Ross Haberman – Haberman Fund: Could you just go over, I did not quite understand in the quarterly results, what expenses you talked about whether and you talked about drop off in your mix of business. Could you go over maybe what items if any were one time or less recurring in the quarterly results please?
Edward Shoen: It is a good question. I am going to let Jason speak that a little bit then I will try to be in the pipe if you need something else.
Jason Berg: Sure. I will touch on the operating expense number. We have mentioned the insurance change in estimates that we have had improving experience on liability losses in the fleet. That number for the quarter, it was about $2.5 million to $3 million for the quarter.
Ross Haberman – Haberman Fund: That was additional expense that will not be recurred?
Jason Berg: No. That is a reduction at expense.
Edward Shoen: Is that responsive to your question, Ross, or do you want to?
Ross Haberman – Haberman Fund: Any other items or that was really it?
Edward Shoen: Well, again, we had the foreign currency translation which depending on what happens with the currency, or we will either see for the next three quarters or not and Jason tried to just give us a heads-up on that.
Ross Haberman – Haberman Fund: How much was that again, I am sorry?
Jason Berg: That was $4 million.
Ross Haberman – Haberman Fund: It was the additional expense?
Jason Berg: It reduced revenue by about $4 million. It is our Canadian operations. We have to adjust their revenue based on the relative strength of the two currencies every time we report and the two currencies have been pretty much parity for the prior year and now the Canadian currency is essentially declined relative to us and so our business did not change but our reported revenue changed.
Ross Haberman – Haberman Fund: I got it. Okay. So, if the dollar gets weaker that could be a couple of million dollars plus.
Gary Horton: But what truly happened, Ross, it is Gary, is actually it really improved a year ago. It was very strong against the US dollars and now is going back to more of a traditional value to the US dollars. So, you are back to the instead of 120 [cross talking] which is if you look back over the last 10 years, it has been about that with the exceptions of a year ago when it was on parity with the US dollars.
Ross Haberman – Haberman Fund: Okay. Just one follow-up question here. The depreciation line, I guess that was combined with the losses on disposal. You showed $68 million of costs. What was the actual depreciation if you could break that out between, I guess, the loss versus the depreciation?
Jason Berg: The depreciation of equipments for the quarter let me get that one second. The depreciation for the quarter on rental equipment was just over $55 million, compared to just about $50 million last year.
Ross Haberman – Haberman Fund: Okay. So, there was a loss of like $13 million on disposal of truck, I guess?
Gary Horton: Well, we also have building depreciation in there as well combined with the losses on equipment. Are you talking about the quarter or for the nine months quarter?
Ross Haberman – Haberman Fund: I am looking at the $68 million you had on your press release.
Gary Horton: Right. And then we had depreciation on non-rental equipment approximately $8 million, and then the remainder is loss on disposal.
Ross Haberman – Haberman Fund: Will those losses moderate over time? I guess you had about a $5 million loss.
Edward Shoen: This is Joe talking. Yes, over time. We try to drive them to be zero, in other words we are trying to get a net zero. So, we always are looking at what residual amount do we have, what rate are we depreciating, things like that. So, I do not think it is going to be zero this year but going next year it is trending towards that. We reduced some residuals. I do not know, eight months ago, Jason, or about eight months ago.
Ross Haberman – Haberman Fund: Do you play around with your depreciation? I mean, just looking at this quarter, you had a $5 million loss. At what point do you increase your depreciation rates? So, you have a zero, close with zero.
Edward Shoen: Yes. We typically would reduce residual. We typically do not change the rate. This could be very specific and we do this in a very measured fashion but what we are trying to do is get that number to be plus or minus zero and what we wanted to show we want operations theoretical to reflect operations and not reflect the used truck market. So, we are headed. I think we are currently in a better situation on that than a year ago. There have been some declines in used truck base and we had to reflect in our residuals. They are modest on a per truck basis but when you are selling thousands of trucks it becomes a significant amount of money. A bigger real effect has been the softness in the pickup and van resale market. Every year, we sale 6,000 or 7,000 pickups and vans; and that market, and we are going to book this year again as a new book substantial gain in some prior periods in that. That market has gotten real soft as kind of a reflection of the overall automobile market. So, if you look for real economic impact, we will have a greater real economic impact for the 12 months ended this March and what is happened in resale of the pickups and vans. We are still selling them at a slight gain because we are pretty aggressive on our values there, always fearing we could get caught short and we also do typically those vehicles are held less than 18 months and when you start depreciating something and you are only going out 18 months, you are able to be, it is a lot more certain what the residuals will be then when you are projecting out 10 years, and so the pickups and vans, we will show a slight gain but it is down from the gains we have been experienced over the last several years.
Operator: Your next question comes from the line of Gary Lenhoff - Ironworks.
Gary Lenhoff - Ironworks: Thank you. Jason, can you clarify that? Did you say that your losses on disposition of equipment in the quarter were about $5 million?
Jason Berg: That is right.
Gary Lenhoff - Ironworks: Can you tell us with that number for the full year, for the nine months?
Jason Berg: Yes. For the full year, it is about $15 million.
Gary Lenhoff - Ironworks: Okay. And Joe, can you talk about the current environment for sales of vehicles have seen gotten softer in January from November to December about the same or better?
Edward Shoen: It is not gotten any worse in January. I do not have. In front of me and I am trying to remember right now about the uptick. November and December were just lousy and they were lousy in every single segment of our business, whether it was sales or rentals. They were just lousy. The rentals have shown a decided improvement in January. It is still not where we want it to be but it is not got the extreme negative impact that December has. I honestly do not know where truck sales are today. We responded with a bunch of things that I do not want to go through because we want to surprise our competitors with them but we responded with a bunch of things that we believe will improve our van and pickup sales 12 months going ahead, in other words, how you set this up the exact options you put on the vehicles. These are all your best guess as to what is going to help you on the resale market. So, we have changed up a bunch of things we think that will give us a little bit about of another shot out of the gate, but when we are selling vans and pickups where up against all other large fleets and so it is a commodity and anything you can do to distinguish it is helpful. But I would expect the pickup and van market to mere general auto sales also from a macro point of view. They did for the past five years and general auto sales are in a trough right now but still we have depreciated them enough but we are still in the money items. On the box trucks, it is much different marketplace because it is a non-financed market. Most of those trucks are going out of $3,500 or less, technical sales, technical sales, just the person walks in with either a check or literally with cash to buy a truck. So, it is a whole different segment of the market and that has stayed good through October, where we saw the pickups and vans softness in them clear back to the middle of the last summer. We saw some softness in November and December in our big truck or our box trucks we call them sales. I would expect that to firm back up about like general consumer confidence, which I think is improving in the spring. We have never seen an inability to sell those trucks. In other words we have been selling those trucks for 20 years that I have participated in and generally speaking if you reduce the price, $300, that is considered a discount and you can move the merchandise if that is what it takes and so I do not know Jason if he had a number that might be off.
Jason Berg: A couple of percentage points.
Edward Shoen: A couple of percentage points we are off in what we are getting for the trucks but it is not a substantial amount of money.
Gary Horton: What they would like to push on, because we do sell a lot of trucks and on annualized, we probably have $115 million worth of additional cash generated through the sale of these older trucks. It is still even being down a little bit you still are generating a tremendous amount of cash every year, year-in, year-out and we also with the pickups and vans we buy them right and as everyone has pointed out our gains are less than what they have been in prior years, which had the effect of basically offsetting any of the losses on what we call scrap outs or basically trucks that are basically go to the scrap metal file. So, it is the softness of the market there but if you look at the overall total piece that you bring in it is still a very, very substantial against more the party is running.
Gary Lenhoff - Ironworks: Great. That is really helpful. One other question Jason.
Edward Shoen: Are you still there?
Jennifer Flachman: Stephanie?
Operator: Apparently, we lost his line.
Edward Shoen: Why do not you give us the next caller and let him dial back in.
Operator: He is now back in the queue. One moment to Lenhoff, good you are back in queue, sir. Your line is reopened.
Gary Lenhoff - Ironworks: I appreciate it. I did get the entire answer that was the important part. Another question, it looks like, Jason, if I total up what you have outlined in the 10-Q you are going to spend about $65 million in net CapEx in Q4 between equipment and storage. Is that about right?
Jason Berg: Yes. I think that is in neighborhood and that is net of truck sales.
Gary Lenhoff - Ironworks: Correct, okay. Can you ballpark a number? Given what you see out there in the environment today and what you are thinking for the rest of the year. Can you ballpark a CapEx, a net CapEx number for fiscal 2010?
Edward Shoen: No. The reason is, this is Joe speaking, I am just holding everything close and I am not going to…we will be coming down but I do not want to tell people to stop depending on how financing goes and how business goes. I do not want to be too short term in my outlook, so what we are doing is we have shortened our commitments and basically run them all out this fall. So, we have very little commitments but I am still trying to develop opportunities. I still believe there are opportunities particularly in the truck fleets, of course, as you wear them out you have a simple opportunity. The cost is amazing versus cost of depreciation and interest, and so at a point you just are in the money to buy it assuming there is liquidity in the marketplace and we are holding what for us is a lot of liquidity and we are going to continue to hold that. These are intents, so even if we might make a few dollars by rotating some trucks. We may elect if there is not current liquidity and if we do not have good lease proposals or good financing proposals, we may just opt out of that investment in any given quarter and we are trying to remain very flexible their long term. It is good things that continue to rotate vehicles but we are fairly risk-averse in this liquidity issue.
Gary Horton: Yes. What we actually are at now, which is very, very good is we are at a discretionary level of CapEx. We have replaced the tremendous amount of it. Our fleet is refreshed and we are able to look at it and make sure that financing and our liquidity is in place before we go out and makes large commitments going forward for more trucks. We are actually, in that respect is a very, very good position. We have gotten lease and loan proposals in and we are in the process of awarding those and having people go through their credit approvals but again we really do not need to buy a lot of trucks and/or trailers, and/or storage right now. We are in previously shape from that standpoint.
Gary Lenhoff - Ironworks: Okay, great. And last question, you are reporting your insurance operations I believe as of the end of the third calendar quarter, the quarter ending last September. Is that correct?
Edward Shoen: That is right.
Gary Lenhoff - Ironworks: Okay. Can you comment on, I mean given what is happened in fixed income market etc. Can you talk about, are there realized or unrealized losses in your investment portfolios for the quarter you have just reported and can you give us some flavor for what we are going to see when you report the fourth quarter given what is going on in the investment market?
Jason Berg: Sure. I will just go about that. Technically speaking, if there is anything significant that happens in the insurance subsidiaries in intervening quarter that we have information on but have not reported, we would list that at the subsequent event. So, if there was anything material that had happened in those portfolios we would be disclosed that in the queue. So, there has not been anything in material disclosed in that in the queue related to the investment portfolios.
Gary Lenhoff - Ironworks: So, with respect to the corporate bond portfolios, for example, there have not been in any realized and unrealized losses of any magnitude?
Jason Berg: Sure. We have unrealized losses in those, but as far as recognizing them as other than temporary impairments, we have had very minimal. I think the number that we have in the queue for this year is somewhere on $400,000.
Gary Lenhoff - Ironworks: Can you give us some idea what the size of the unrealized losses might be?
Jason Berg: Yes. Let me turn in the Q. On page 4 of the Q, we have our statement of comprehensive income and there is a line item on there that reflects the unrealized gain or loss on investments and that almost exclusively the insurance companies. So, for the nine months, the change in that has been a $10 million increase in the unrealized loss from March 31st, well, December 31st, 2007 through September 30th.
Gary Lenhoff - Ironworks: Okay. Jason, can you estimate what that number maybe for the fourth quarter?
Jason Berg: Yes, pretty much. I think actually September was perhaps a little bit worse than December as far as bond valuations go. So, that number may get a little bit better by the time we hit December.
Operator:
Ross Haberman – Haberman Fund: Could you talk about competition pricing, Avis, where they stand? And if they go away, how beneficial will that be.
Edward Shoen: Okay. This is Joe. The market remains fairly competitive, and the customer, of course, as we have told people before the biggest thing is customers can go back into owned and borrowed. In other words, use a truck from work or borrow a truck from a friend or some other. There is a whole host of ways that people move when they do not rent from anybody. So, always what we do not want to do is lose the customer back into a nonfinancial transaction to move, but I think what your question is addressed to is what is our competitive position or rate position vis-à-vis the Avis Budget organization and the Penske organization and I would say it is largely remain unchanged. We are the choo-choo rah-rah guys for let us try to hold rates. But the simple fact is that those other organizations pursue what they want to pursue, you can do a quick deal on the website and quote three of our rates and three of their rates. You can form an opinion. Three is a small sample but if you can do 20, you would be probably pretty accurate. So, I expect that those people will continue to rely on price because they are short in other factors that matter for the customer and we will continue to respond with a better product more convenient and I think with that strategy has proven to be workable for us and we intend to continue with that strategy in the near term. So, it is no less competitive at all and now if budget is going away you know something I do not know so that would be the first one but the budget organization has gone through many permutations over the last 20 years I think and so I have no reason to believe they are going away and if they went away I do not know that we know really what is the effect would be because again they will not, just disappear off the planet Earth. If they have an ownership change or they have sort of how we can figure their operations, I would expect in some manner form that they will continue to go ahead. Now, if you took a longer term view of this we have seen any number of better capitalized companies come in and exit this marketplace because there is a lot more to it than being able to finance yourself into a fleet of trucks. This really is a service business. We are not in the financial leasing business. This is customer service business and while we make mistake, it is the business that we are in. We are in the customer service business and as I indicated in my prepared remarks what I am concentrating on right now is getting my point of sale people to wow the customer. The customer is beat up. The customer is discouraged. We all know that. We have seen on the TV. So, I want them when they come into our store and they are basically stressed out for whatever reason because they are moving. I want our people to make them feel good because they will move again in three or four or five years and I want to be their first choice at that time. So, I believe that we are always going to see cycles in the marketplace. This is a cycle. We are going to come through it with as good a competitive position and hopefully a better one because hopefully our competitors will succumb to the discouragement of the general economy and I have seen signs that they are doing that that they are reducing service. Of course, the customer is paying for service so if you are going to reduce service and expect the income to go up I do not see where the value equation is there and I would expect that that will fail.
Ross Haberman – Haberman Fund: And just one final question, if we continue to have this slack economic environment, what is your prognosis for your summer, your higher peak quarters? Are you putting any sort of flavor on it yet?
Edward Shoen: No. If it stays lousy what we will do is reduce CapEx and reduce inputs to the fleet and maybe instead we have grown the fleet 1,500 or 2,000 trucks we might shrink the fleet 1,500 or 2,000 trucks but that will affect liquidity faster than it affects profitability because profitability has a lot of other components to it. So, I think we are going to see a decent summer unless something we see further deterioration. If we see further deterioration, I am not, I do not anymore in chare of that or anymore wise on that than any number of other people. If we see further deterioration well it could affects us, again, we saw a lousy December and a lousy November but January has come back. So, what is that mean for sure, well, it is always masked by weather. It is always masked in my mind by our own core behavior. I see all of our core behavior, you see, and so I am saying well if we would have jigged when we jogged. We would have done better. I have a number of initiatives in that I believe or worthy of a 1% or 2% transaction increase and that is what I am totally driving on now, but I have had that attitude for the last 12 months and I have not gotten it so or let me say it has not netted out, maybe I got it. Maybe I go one and lost two. You see, there is lot of hidden things in that whole deal that is more easily assessed in the rearview mirror than they are prospectively. So, we are planning for a repeat basically of last year and then we were working for an improved situation I guess.
Ross Haberman – Haberman Fund: Okay. That is it guys. Thank you very much.